Operator: Good morning and welcome to the BOK Financial Corporation’s Third Quarter 2014 Financial Results Conference Call. All participants will be in listen-only mode (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions (Operator Instructions) Please also note, this event is being recorded. I would now like to turn the presentation over to Joe Crivelli, Investor Relations for BOK Financial Corporation. Please proceed.
Joseph J. Crivelli: Good morning, everyone and thank you for joining us to discuss BOK Financial Corporation’s third quarter 2014 financial results. Today, we’ll hear remarks about the quarter and outlook from Steve Bradshaw, CEO; Dan Ellinor, COO and Steven Nell, CFO. Before we begin, I would like to remind everyone that during this conference call management will make certain forward-looking statements about its outlook for 2014 and beyond that involve risks and uncertainties. Forward-looking statements are generally preceded by word such as believes, plans, intents, expects, anticipates or similar expressions. Forward-looking statements are protected by the Safe Harbor contained in the Private Securities Litigation Reform Act of 1995. Factors that cause actual results to differ from expectations include, but are not limited to those factors set forth in our filing with the SEC. BOK Financial is making these statements as of October 29, 2014 and assumes no obligation to publicly update or revise any of the forward-looking information in this announcement. I’ll now turn the call over to Steve Bradshaw.
Steven G. Bradshaw: Thanks, Joe. Good morning, everyone and thanks for joining us. I trust everyone have seen our earnings release for the third quarter, which we issued earlier this morning. As shown on Slide 4, financial results remain strong in the third quarter. Net income was $75.6 million or a $9 per share down slightly from the second quarter. Loan growth was robust while performance from fee-generating businesses was mixed. We’re also executing well on two important strategic objectives one reposition our balance sheet for a potential rising rate environment in 2015 and two building our operational infrastructure to strengthen risk management, compliance and information technology. Both period in loans and average loans grew 1.9% for the quarter or 7.6% annualized, commercial lending and commercial real estate both grew at or near the double digit rate we originally forecasted. Energy lending accelerate during the third quarter to a growth rate of over 20% annualized. Dan Ellinor will provide more color in a moment and we’ll also provide some perspective on what the recent dip in energy prices means to our energy lending business. Fiduciary assets were $34 billion at quarter end compared to $32.7 billion at June 30 and $29.6 billion a year ago, nice sequential organic growth in a challenging investing environment. Turning to Slide 6, as I mentioned results from fee generating business were mixed this quarter, we were somewhat disappointed in the decrease from Q2 which we believed was a sustainable run rate. Brokerage and trading was down 9.7% in the quarter, but keep mind in the second quarter results included $1.6 million of recoveries from the Lehman and MF Global bankruptcies. Excluding these recoveries brokerage in trading revenue was down 6% largely due to lower interest rate volatility, which negatively impacted trading volume in our brokerage business. Investment banking continues to perform well and revenue was largely unchanged compared to the very strong second quarter. TransFund also continues to executive well. Revenues were flat sequentially, but continue to run at a mid single-digit growth rate over the previous year’s quarter. Basic blocking and tackling drives growth here and bringing a new banking and Credit Union clients, helping them to increased penetration, activation and usage of debit cards as well as landing new merchant service clients. Trust revenues were likewise flat over the second quarter of 2014. A full quarter of revenue from the acquisition of MBM Advisors added approximately 835,000 in fiduciary and asset management revenue, but this was offset by the seasonal timing of tax service fees, which were recognized during the second quarter. There was no change in the trajectory of deposit and service charges and fees. This line of business continues to be under pressured industry wide. You’ll note an 8.6% sequential revenue decrease at our mortgage banking business. The largest contribute of this decrease comes from the increase in mortgage rates at the end of the quarter leading to a negative valuation of our mortgage pipeline compared to a positive valuation adjustment at the end of the second quarter. This led to a $7.4 million negative revenue swing between Q2 and Q3. Our core origination business continues to build with increased production volume in the third quarter from our corresponding network and our HomeDirect online mortgage origination business. These channels represent lower margin originations which also impacted revenues to a lesser degree. Finally, our mortgage servicing revenue continues to grow and reached $12.1 million up 4% from the second quarter. As shown on Slide 7, total operating expenses were $221.8 million up from $214.7 million in Q2. A handful of line items make up the sequential expense growth first a $3.8 million write-down on to OREO properties. Second approximately $2.2 million of consulting fees related to our risk and compliance projects. Those two line items totaled $6 million and reflect the majority of the $7.1 million sequential increase in operating expense. I’ll now pass the call to Dan Ellinor, who will talk about the loan book in more detail. Dan.
Daniel H. Ellinor: Thanks, Steve. Lending activity was strong in the third quarter and pipelines remain robust as we make our way through the fourth quarter. On balance, commercial and industrial lending and commercial real estate lending combined grew right at the low double-digit level that we had forecasted. While consumer lending was a bit soft in the quarter. With that said, we feel confident that we’ll be able to achieve our goal of double-digit growth for the full year. As indicated on Slide 9 of the presentation, commercial loans were up 2.4% for the quarter from $8.4 billion to $8.6 billion. Again, this quarter we see the benefit of our diversified business model. Energy lending was up nicely for the second consecutive quarter with 5.5% sequential loan growth or 21.8% annualized. Services was not far behind with 4.7% sequential loan growth or 18.6% annualized. Manufacturing loans were also up 5.9% sequentially or 23.6% annualized. These were partially offset by decreases in wholesale and retail and relative flatness in the healthcare. While healthcare lending cooled a bit in Q2 and Q3 the new deal pipeline is strong and should result in positive growth for the fourth quarter. As shown no Slide 10, commercial real estate lending rebounded in Q3 was 2.6% quarterly loan growth or 10.4% annualized. We saw strength in office, multifamily and industrial offset by declines in retail in the other category combined with continued with continued plan reductions in our residential construction segment. Adding it all up sequential period in loan growth was 1.9% or 7.6% annualized. The strong quarters in commercial and commercial real estate were offset by a reduction in the residential mortgage portfolio. This portfolio is not expected to grow as it largely represents floating rate mortgages, which we’ve added further in the current low rate environment. As noted earlier, we still feel our goal of double-digit loan growth is attainable for the full year. Turning to Slide 12, we see the diversity in our business model driving strong results. Last quarter Oklahoma was our strongest lending market from a geographic standpoint generated over 90% of our loan growth and New Mexico was also strong. This quarter Oklahoma and New Mexico were flat and we saw nice sequential increases in Texas, Arkansas, Colorado and Arizona. Turning to Slide 13, you’ll see our yields were down seven basis points. About half of the decline was due to continued competitive environment with the remainder a combination of a slight change in the loan mix and a non-accrual recovery in Q2. Now, I would like to talk about the impact of oil prices on energy lending. We received several questions about what impact the recent decrease in crude oil prices we’ll have on the BOKF energy portfolio. So I wanted to provide some insight into how we manage changes in commodity prices. First, as we’ve noted to investors in the past, we stress test the entire portfolio down to $55 per barrel for crude oil, which is 35% below where prices are today. Even at this low level there is no loss reflected in the credit portfolio. Some bars will have to extend repayment if prices remain at the $55 price for a sustained period, but our stress testing indicates we have sufficient collateral value to mitigate any potential losses in the portfolio. In addition, we revalue every borrowing base in the portfolio two times per year. So we never vary out of line with the current market realities from the collateral valuation standpoint. Furthermore, many of our energy borrowers hedge their commodity prices out 24-months. We do believe that low sustain energy prices will restore some sense of order to the energy lending market. Last time we saw this type of environment in 2008 timeframe, it did cause some of the weaker newcomer energy lenders to leave the market. This could lead to better competitive environment although we haven’t really seen that happen yet. Keep in mind that overall line utilization is also below 50% right now and the highest average utilizations we’ve seen historically have been in the high 50s. So there is plenty of headroom from a collateral standpoint. Turning to Slide 15, let’s talk about energy volatility and loss rates. To put a final pour our energy portfolio performs in periods of price volatility, Slide 15 shows our historic loss rate in the energy portfolio, depicted by the grey bars against spot prices for oil and gas. As you can see gas is fluctuated widely throughout the last 20 plus years from a low of $1.05 per BTU to a high of $15.38. Oil has fluctuated from $10.72 per barrel to $145.29. At no point during this timeframe did our loss rates exceed 50 basis points of net charge-offs and the average during this time period is five basis points of net charge-offs. Oil and gas has long been our best performing portfolio from a credit quality standpoint in good times and bad times. Our expectation is at the recent dip in energy prices will not change our view in this regard. Steven Nell, will now cover our financial results in more detail, Steven.
Steven E. Nell: Thanks Dan. I’ll highlight a few items from the third quarter financial results, then I’ll provide some details of our financial forecast. As Steve noted earlier, we earned $75.6 million in the quarter or $1.09 per share down slightly from the second quarter. A number of unusual items impacted earnings during this quarter; these included a $3.8 million write-down of other real estate owned and a $2.2 million consulting fee related to our BSA AML project. In addition, we realized a $2.3 million tax benefit that I’ll describe in a moment. Turning to Slide 18, net interest revenue was $166.8 million in the quarter an increase of $694,000 over the second quarter. An extra day this quarter contributed almost $1 million of revenue and we realized approximately $400,000 of net interest revenue from increased deposits at the Federal Reserve Bank funded by Federal Home Loan Bank borrowings. Overall net interest margin declined from 2.75% to 2.67% with six basis points of the declined from the Federal Home Loan Bank trade. The remaining net interest margin pressure comes from continued loan pricing competition. Fees and commissions were $158.5 million in the quarter, down 3.4% compared to a $164.1 million in the second quarter as Steve already discussed. While there maybe ebbs and flows from quarter-to-quarter comparing third quarter of 2014 to the third quarter of 2013, fee revenue has increased 9% well ahead of our mid single-digit growth target. From an expense standpoint, we’ve done a good job managing through our operational infrastructure investments over the past five quarters as demonstrated on Slide 20, when normalizing out the benefit received earlier in the year, from the reversal of the executive incentive true-up plan, personnel expenses of 3.9% from the third quarter of 2013. A portion of this can be explained by regular merit increases which occurred in the beginning of 2014 and the two acquisitions we closed earlier this year, with the remainder largely due to the higher staffing levels in risk and compliance. We’ve managed, personnel expense by hiring more than 60% of the compliance team from within minimizing back fill and holding the line on staff growth in other areas of the bank. Within non-personnel expenses some of the expense build is due to higher levels of revenue, which impacts variable costs especially in the TransFund business. The balance was largely driven by our risk and compliance investment. Last year we’ve indicated to the street that we would see $10 million to $15 million of incremental expense for risk and compliance projects and the investment has been within the guided range, when complete we’ll have a scalable infrastructure that allows us to look for consolidation opportunities in the marketplace as smaller banks struggle to brings their systems up to expected levels. Before we move into the balance sheet discussion, I’ll mention one time reflected in income taxes. During the third quarter we adjusted our income tax expense downward $2.3 million to reflect the expiration of an uncertain tax position and to adjust our tax liability accounts to amounts filed in our 2013 tax return. Normalizing for these adjustments our book – taxable income tax rate remains leveled at 32% or 35% on a full tax equivalent basis. Turning to the balance sheet, the securities portfolio was $9.3 billion at quarter end down from $9.7 billion at June 30. The amortized cost of this portfolio decreased $350 million from June 30. Our current expectation is to reduce the portfolio in total by roughly $1.2 billion over the 12-months of 2014. While we previously indicated that we would continue the portfolio reduction into 2015, we plan to reevaluate this decision over the coming months as it now appears that rising short-term rates could be further out on the horizon. Average deposits were $20.2 billion down from $20.5 billion last quarter; demand deposits continue to grow with offsetting declines in interest-bearing deposit accounts. The corporation remains extremely well capitalized. The Company and its subsidiary bank exceeded the regulatory definition of well capitalized at September 30, 2014 with a Tier-1 capital ratio of 13.71%. Total capital ratio of 15.09% and the leverage ratio of 10.22%. BOK Financial’s Tier-1 common equity ratio based on the existing Basel I standards was 13.4% as of September 30, 2014, and based on our interpretation on new capital rule our estimated Tier-1 common equity ratio would be approximately 12.6% nearly 560 basis points above the 7% regulatory threshold. As shown on Slide 22, credit quality continues to be very strong; the allowance for credit losses was 1.40% of period end loans and represents a 198% of non-accrual loans. Nonperforming assets excluding those guaranteed by government agencies were 1.06% of period end loans and repossessed assets and it was also our fourth consecutive quarter of net recoveries. We paid a regular quarterly cash dividend of $0.40 per share or $28 million in the third quarter. This is our tenth consecutive year announcing a dividend increase as the Board of Directors approved the dividend increase to $0.42 per share beginning this quarter. Our next dividend will be payable on or about December 1, 2014 to shareholders of record on November 14, 2014. Let's talk just a little bit about 2014 assumptions. Our guidance remains unchanged for the balance of the year as outlined on Slide 23. As Dan mentioned, we continue to expect loan growth in the low double-digit level for the full year, we continue to see competitive pressure impact loan spreads. So net interest margin may decline at basis one or two in the fourth quarter, excluding the impact of the Federal Home Loan Bank trade I mentioned earlier. We continue to expect reduction of the securities portfolio at a similar pace with a total reduction of $1.2 billion over the full year. Net of all these factors we expect net interest revenue to be relatively flat for the balance of the year. Fees and commissions should grow off the Q3 level in Q4, we continue to expect mid single-digit growth in that area. Excluding the impact of the one-time items we described earlier, fourth quarter expenses should be roughly flat with the third quarter. And lastly borrowing any large recoveries we do not expect any loan loss reserve releases in the fourth quarter. Okay, let's shift and talk a little bit about 2015 assumptions. Earlier this month, we issued preliminary guidance for 2015, continued low double-digit loan growth. Net interest income will increase in 2015 from earning asset composition and stable to improving net interest margin. When normalizing net interest margin for the diluted impact of the Federal Home Loan Bank, Federal Reserve Trade. Continued mid single-digit revenue growth from fee generating businesses, and an additional $5 million to $10 million of IT investments with an effort to offset as much as possible with prudent expense control initiatives in other areas of the bank. Steve will now make some closing comments before we open up for question-and-answer. Steve.
Steven G. Bradshaw: Thanks Steven. There were a number of one-time items that impacted earnings, but on balance, we believe that we have made great progress in the past 12-months. At a very high level, we’ve managed through a tough competitive environment and also a low interest rate environment, improving our interest rate sensitivity significantly, growing our loan portfolio with high quality borrowers and keeping net interest income very stable from quarter-to-quarter. Our fee generating businesses have all grown nicely on a year-over-year basis. We’ve made critical investments in our operating infrastructure which have necessitated higher levels of spending, but we’ve carefully managed through this investment process. As a result, net income as likewise remain relatively stable throughout this time and we are merging with a stronger new business development culture that’s empowered to grow a business with high quality customers along with the solid and scalable operated infrastructure and improved risk management culture. Going forward there are number of strategic initiatives underway that will drive above market growth. As I mentioned in our Investor Day earlier this month, in 2015 we want to accelerate our market share growth in high growth low market share markets like Houston, Dallas, Kansas City and Denver. M&A will be an important tool in our - loan in this regard. We’ve been patience thus far, but we are also active in our efforts to persuade the right banks to consider a merger. It is our leadership team goal to announce an additive bank acquisition before the end of 2015. We will also plan to make organic investments in people and select markets that we will leverage for faster growth. As an example in mid-September we announced and we had hired long time Houston banking veteran Kim Ruth to serve as Chairman of our newly created Bank of Texas, Houston region, which will include the Houston markets as well as San Antonio, Austin in any future South, Central or Gulf Coast expansion in the state. On the efficiency front, we have to fund our investment and compliance in IT infrastructure with continued growth and through cost cutting initiatives. We will not cut into our business model for short-term benefit, but what we are doing is challenging maturing or decline markets, business units, products and delivery channels to demonstrate a stronger path to growth or be an expense reduction or elimination candidates during 2015. So 2014 was all about energizing organic growth and repositioning the bank in the face of headwinds. 2015 will be about sustaining that organic growth while enhancing it through M&A, strategic new hires combined with a greater focus on gaining operating efficiency. We will now open the call for question-and-answer. Operator, please compile the Q&A queue.
Operator: We will now begin the question-and-answer session (Operator Instructions) The first question comes from Brady Gailey of KBW. Please go ahead.
Brady Gailey – Keefe, Bruyette & Woods Inc.: Hey, good morning guys.
Daniel H. Ellinor: Good morning, Brady.
Steven E. Nell: Good morning.
Brady Gailey – Keefe, Bruyette & Woods: We have heard especially from a lot of the Texas banks this quarter that the lending environment in Texas is becoming even more competitive recently than it was say earlier this year. Have you all seen a notable pickup in the competitive environment for lending in Texas and Oklahoma?
Daniel H. Ellinor: Hi, good morning Brady this is Dan Ellinor, good question. I wouldn’t say that we’ve seen a pickup materially in the third quarter, it’s been competitive all year long, it’s particularly competitive in the energy space with a lot of the banks that have entered energy space in the Texas market, some that have been there for a long time, some that are brand new to it. So we’re definitely seeing pricing pressure there, but outside that I wouldn’t say it’s been notably different in the last couple of quarters for us.
Brady Gailey – Keefe, Bruyette & Woods: Okay. And Dan, it doesn’t sound like the falling oil prices at least as of today are going to be much of a credit issue for you guys, but what impact will it have on energy balances whether with oil down our companies more likely to utilize backgrounds or less likely. What’s the impact on the actual balances?
Daniel H. Ellinor: Well, you’ve got a couple of questions in there, first on the price volatility we’ve been in this business over a 100 years and I think you’ve saw on the deck that we’ve provided for you we’ve been through a lot of volatility and relatively on scale. So given that we’ve stress the book for many years now at $55 a barrel and that had an implied cap on our borrowing base at $85 a barrel. We feel like we’re in pretty good shape. In terms of loan balances there is somewhat of correlation you’ll see at $80 a barrel, our estimate is that you could see cash flow from drillers declined 2% to 3%. So you are going to see less cash flow from the drill bit and more usage of credit facilities. If you look back over our energy book over a long period of time we hover between 45% and 55% utilization, today we were around 48%. So even when the oil prices in 2009 did almost a $40 a barrel we still didn’t pierce 55% utilization. So we should see a little pickup in loan balances if they stay abated in the kind of $80 to $75 a barrel range for while.
Brady Gailey – Keefe, Bruyette & Woods: Okay, and was there a much change in the balances of the share national credit portfolio I know it finished last quarter at around $2.7 billion?
Daniel H. Ellinor: Not too much just for comparative purposes next we’re about 28% of committed book at Q2 2014 and they are 28.5% in Q3 2014, so in terms of total funded balances pretty up slightly I mean relatively flat. So if you look at over a multiple quarter periods.
Brady Gailey – Keefe, Bruyette & Woods: Okay, great. Thank you, guys.
Daniel H. Ellinor: Thank you.
Operator: The next question comes from Brett Rabatin of Sterne Agee. Please go ahead.
Brett Rabatin – Sterne Agee & Leach Inc.: Hi guys, good morning.
Daniel H. Ellinor: Good morning.
Steven E. Nell: Good morning.
Brett Rabatin – Sterne Agee & Leach Inc.: I wanted to I guess first just ask about loan payoffs this quarter, how much of an impact did that have in the various loan segments. And then just thinking about your growth efforts, if you look at the numbers for the different markets and some of the markets are kind of a flattish on loans or deposits and didn’t know if the push in 2015 was going to be across the board or is this going to be more targeted toward Texas maybe you can give a little color on the various geographies?
Daniel H. Ellinor: Sure, let me address your first question in terms of payoff. Some of our portfolios, the commercial real estate portfolio in particular has a decent amount of churn it that’s the way we’ve designed the book, we’re largely an interim construction lender to the permanent market. So we do see decent volatility in that so did affect our yield in the commercial real estate book as we had kind of vintage 13 loans payoff in the third quarter of 2014 and new loans funding up at slightly lower yields. In terms of – and that’s also a case by the way in energy book and to a lesser degree in the commercial and industrial book. In terms of markets, we really think all markets absent maybe one or two can grow at the low double-digit rate. So we don’t have a concentration if you will in any one market that’s kind of the beauty of our franchise. We’re pretty well balanced and you can see the ebbs and flows just from Q2 to Q3, where in Q2 our most mature market Oklahoma was over 90% of the loan growth and in Q3 it balanced out to the rest to the portfolio. So we actually feel pretty darn good about all the markets right now and would expect year-over-year growth to be pretty well balanced in all the markets.
Brett Rabatin – Sterne Agee & Leach Inc.: Okay. And then just going back to the margin guidance for the fourth quarter and thinking about also loan generation. Any idea on “new money yield” where that might be today and then just thinking about the margin guidance for the fourth quarter, the flattishness basically the way I understand is you are saying the securities portfolio potentially decline and that kind of helps the atrophy of yields in other prices of earning assets.
Steven E. Nell: Yes that’s right. This is Steven. We went from 275 to 267, six basis point so that decline in the margin this quarter was due to the Federal Home Loan Bank trade that we made. We are not – that wasn’t reflected fully in the quarter, so that will be completely reflected in the fourth quarter with that trade being on the entire fourth quarter. So you should expect another eight to 10 basis points decline in margin just from that trade, then we think there will be a couple of basis points more related to general loan competitiveness in pricing.
Brett Rabatin – Sterne Agee & Leach Inc.: Okay. I must have heard you wrong earlier. That makes more sense. Okay great thanks for the color.
Operator: The next question comes from Ken Zerbe of Morgan Stanley. Please go ahead.
Kenneth A. Zerbe – Morgan Stanley & Co.: Great thanks. Steven you made a comment that you’re going to reevaluate the securities run off into 2015, because rate actually gets pushed out. Could you just elaborate on that? I would imagine that that would actually encourage you to reinvest more into loan portfolio rather than securities, just want to make sure I understood that right.
Steven E. Nell: Yes, we were kind of on a path that we talked about in our Investor Day here in Tulsa to continue to move that portfolio down and we will, we’ll continue to pull – portfolio down during 2015 to try to continue to stay ahead and get towards interest rate neutral, but I mean there has been a lot of volatility out there in terms of a lot of economists that are really debating when that may – when rates may go up and so we’re – during our budget process we may decide to push that out just a little bit, I think that’s what we mean by that comment.
Kenneth A. Zerbe – Morgan Stanley & Co.: So I push out when you get interest rate neutral.
Steven E. Nell: Push out the pace at which we are moving the securities portfolio downward, which is the primary way that we are moving towards interest rate neutral.
Kenneth A. Zerbe – Morgan Stanley & Co.: Got it understood, all right. And then just other question on the expense side or more specifically the regulatory side. Are you seeing anything that would change sort of the outlook of expense, the regulator expenses you I guess have to touch incur, I mean once you get down with that $10 million to $15 million you talked about last year, are you in a good point or do you anticipate sort of another $10 million, $15 million from here?
Steven E. Nell: Well, as you mentioned we think we’re close on the risk management compliance, but we do give some guidance around additional expenses in 2015 as it relates to IT kind of expenditures particularly in the Cyber Security Disaster Recovery area we are gong to spend some money in that in 2015 and we think that will have some run rate impact on expense in 2015 to the tune of that $5 million to $10 million across the year.
Kenneth A. Zerbe – Morgan Stanley & Co.: Got it and is that IT or Cyber Security being driven by regulatory demand or is that more of an internal issue?
Steven E. Nell: I think its more of an internal issue than any kind of regulatory guidance
Kenneth A. Zerbe – Morgan Stanley & Co.: All right, great. Thank you very much.
Operator: The next question comes from Enrique Acedo of Raymond James. Please go ahead.
Enrique Acedo – Raymond James & Associates, Inc.: Hey good morning guys.
Daniel H. Ellinor: Good morning.
Steven E. Nell: Good morning.
Enrique Acedo – Raymond James & Associates, Inc.: Most of my question have been answered, but maybe can you remind us of just your assets side sweet spot for M&A and maybe if you are looking for deals in marketer or maybe outside of your footprint?
Steven G. Bradshaw: Yes, this is Steve Bradshaw, we’ve really been focused looking at entities that are in kind of that $500 million to $2.5 billion size and for us we’re focused in terms of end market opportunities that mainly would exclude enter into a new market, but most of our focus has been on infill and specifically Dallas, Houston, Kansas City and Denver have been the once that we’re willing to better the most attention to probably over the last trailing 12-months to 18-months or so. So that’s really our M&A focus at the present.
Enrique Acedo – Raymond James & Associates, Inc.: All right, thank you. Thanks for taking my question.
Operator: The next question comes from John Moran of Macquarie. Please go ahead.
John V. Moran – Macquarie Capital Inc.: Hey, guys.
Steven G. Bradshaw: Good morning John.
Daniel H. Ellinor: Good morning.
John V. Moran – Macquarie Capital Inc.: Just a couple quick follow-ups on the oil discussion and Dan thanks for providing that detail. And I know that you guys have disclose this and I’m sorry if I missed I was kind of scribbling as fast as I could, but how is production versus midstream or services in the book?
Steven G. Bradshaw: Yes. Thanks for question. The bulk of our energy book is in E&P well over 90% and it has been for a long time. We do have a small amount of midstream and a much smaller amount of energy services, all though we like the energy services business, a business especially supporting the shale place, but its largely E&P and its very diversified in terms of the various resource plays around the country.
John V. Moran – Macquarie Capital Inc.: Okay. And then Dan you said, I think you mentioned that the cap is $85 a barrel, the long-term price peg if I’m not mistaken I think you guys talk about at Investor Day was somewhat lower than that.
Daniel H. Ellinor: Sure, what we do is we will take the forward 12-month strip and present value that back at an 8% discount rate, but we’ll have an implied – we have a cap at $85 so for the last many years with all above $100 a barrel. We cap the strip at $85. Right now we’re on top of the strip which is obviously below that.
John V. Moran – Macquarie Capital Inc.: Okay. Got it and then at what level – I mean I understand that you are not going to – maybe things stretch out a little bit, but you are not going to take a credit losses all the way down to kind of $55, but at what level do you guys get concerned about, knock effects if you will like, Texas just kind of generally gets well or Oklahoma gets a little bit slower. What level do you think that that would start to happen?
Daniel H. Ellinor: Yes. Well, you really have to look at each resource play independently and a good example is break even points from the Bakken are substantially higher than the Eagle Ford and even the Permian down in Texas as appose to the mid-continent in Marcellus. So we kind of look at each of the various plays independently of one another, but generally speaking,, if I was to categorize all the plays together. We’re going to not be very happy I think if oil stays at $70 or below for a prolonged period of time, but the $75 to $85 range I think we’re going to be just fine.
John V. Moran – Macquarie Capital Inc.: That’s helpful. Then I have one other kind of housekeeping kind of question. The 100 basis points difference between Basel I and Basel III. I assume is mostly on unfunded commitments or would I be wrong in that assumption?
Steven E. Nell: Yes, I mean it’s a combination of things, but that’s one of the factors and then just the general rearrangement of some of the risk weightings and the earning asset categories.
John V. Moran – Macquarie Capital Inc.: Okay, thanks very much guys.
Steven G. Bradshaw: Thank you.
Operator: The next question comes from Matt Olney of Stephens Inc.. Please go ahead.
Matthew Olney – Stephens Inc.: Hey, thanks good morning guys. I just want to clarify the margin outlook, I believe Steven said that the incremental impacts from the full quarter effected at that FHLB trade for the fourth quarter is about eight to 10 basis points from here on the margin. Did I hear that correctly?
Steven E. Nell: You did. That’s exactly right
Matthew Olney – Stephens Inc.: And then another few basis points from incremental pressure on just loan yields?
Steven E. Nell: That’s correct.
Matthew Olney – Stephens Inc.: Okay, thanks for clarifying that. And as far as the outlook for expenses in the fourth quarter. As you guys noted there was a quite bit of noise in the third quarter, so should we be interpreting kind of a flattish outlook for 4Q, somewhere around $218 million, if I exclude that MSR impact and I assume a more normalized OREO expense outlook and take out that $2 million of professional fees.
Steven E. Nell: Yes, I think you are looking at it correctly.
Matthew Olney – Stephens Inc.: Okay. And then going back to the discussion on this CRE loan book, there was a pretty good sequential increase in multifamily loans. Any color on kind of where those new fundings are in terms of geography and should we continue to expect some pretty good growth in that book for the next few quarters.
Daniel H. Ellinor: This is Dan. Yes, the commercial real estate book, the way we view that is we look at it by market and by products. And we have caps associated with both. The multifamily has been historically I believe for many, many years has been a good product for us. It has been most of the asset generation in the last year, a good bit of its in Texas, but we’ve also got some in Arizona and Denver and Oklahoma. So it’s been pretty well spread out. We look at the projects across the franchise and try and make sure we can support good customers in each of our markets so we don’t go too long in one market and so that would suggest that we’re not going to put all our eggs in one basket in any one market, Texas specifically. So I actually see decent loan volume on the multifamily front in most of the markets right now.
Matthew Olney – Stephens Inc.: Okay, thank you.
Steven E. Nell: Thanks Matt.
Operator: (Operator Instructions) The next question comes from Jon Arfstrom of RBC Capital. Please go ahead.
Jon Arfstrom – RBC Capital Markets Corp.: Thanks, good morning guys.
Steven E. Nell: Good morning.
Daniel H. Ellinor: Good morning Jon.
Jon Arfstrom – RBC Capital Markets Corp.: Just a few follow-ups. Steven, now just on the expense question. Thanks for the help on the fourth quarter and I guess for 2015 what exactly are you guys saying and you’re seeing relatively flat expenses from fourth quarter levels in that some of the new spending that you have to do can be offset I mean that’s the way it reads in there and I just want to make sure we’re hearing that correctly?
Steven E. Nell: Well, we hope that our – certainly our fee businesses and all of our other businesses continue to grow in 2015 and you’ve got some variable expenses that will follow that growth in 2014 that you have to consider, but we do give guidance around additional spend and expense build in some of our IT infrastructure enhancements. And so if you consider kind of normal business growth and variable expenses plus a little bit of spend that we talk about in terms of IT. That would be a pretty sound basis for which to build your expenses going forward.
Jon Arfstrom – RBC Capital Markets Corp.: Okay. That is helpful on the variable piece as well. Okay, also as long as your fund center I guess this service charges number was down a bit and you alluded to it, but maybe can you elaborate in terms of what’s going on there in terms of why it was down?
Steven G. Bradshaw: Yes, Jon it’s Steve Bradshaw it was down primarily because the start of the third quarter we made a change in terms of our early practice and short order and that had an impact to it and we’ll kind of going forward as well. We basically made the change to take the electronic or digital transaction ACH and check our debit card transactions and sort those first as presented which was a change that we thought brought us more in line with regulatory expectations going forward.
Jon Arfstrom – RBC Capital Markets Corp.: Okay, and that was early in Q3.
Steven G. Bradshaw: Yes, it was at the absolute start of Q3.
Jon Arfstrom – RBC Capital Markets Corp.: Okay, good. And then Dan just the comment on the change in loan mix on loan yields, it sounds like is it a higher quality loan mix or what exactly happen there and what is the – is that just something for the quarter is that sometimes more prominent?
Daniel H. Ellinor: Well, I wouldn’t say it’s more prominent actually a couple of things happen, you’ll notice from Q1 and Q2 we had a really nice rebound in our commercial real estate book. So that book continue to fund up in Q3, which that income combination with vintage 13 loans payoff, we definitely saw a decrease in yield in the commercial real estate book. We had nice growth in the wealth group which is as you can expect a flight to quality. We add a lower spread in yield and we also in the third quarter we’ve got a nice public finance business and added a substantial amount of public finance loans around the franchise that are at the lower yield. So if you balance all that out we definitely saw some yield compression due to the asset changes in terms of where we put our funded loans, but the market continues to be competitive across the board.
Jon Arfstrom – RBC Capital Markets Corp.: Okay, all right. Okay, and then one more Steven for you just on mortgage banking kind of a color rate and volume question, but potential for that pipeline valuation to change if the curve keep steeping and then I guess maybe on the other side of it have you seen any increase at all in terms of your application volumes?
Steven E. Nell: Yes, our core business is really stayed pretty steady and pretty good in the fourth quarter, as you noticed in the third with the rates ticking up right at the end of the quarter. We did have to mark our loans held for sale and our commitments to market and that’s really what drove the decline in the mortgage revenue line item and I expect – it’s hard to tell what will happen in the fourth quarter, but the activity is still been pretty good and you would expect some stability there, I think in the fourth quarter.
Jon Arfstrom – RBC Capital Markets Corp.: Okay. All right. All right thanks for the help guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joe Crivelli, investor relations for BOK Financial for any closing remarks.
Joseph J. Crivelli: Thanks Andrew, and thanks again everyone for joining us. As always if you have any further questions please give me a call at 918-595-3027, or send me an e-mail jcrivelli@bokf.com. Thanks for joining and we’ll talk to you later.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.